Patrick Bowes: Good afternoon from Hong Kong. Could I please first ask that you turn off your phones and any other mobile devices that may make a noise? But welcome. This is the Prudential's 2022 Full Year Q&A session and we're very pleased to see you all. I'd like to hand over to you now to Anil, our new Chief Executive Officer, who's got some opening remarks. And then we'll go to questions from the floor, from the phones and then from the webcast. So, Anil, over to you.
Anil Wadhwani: Thank you, Patrick, and good evening to everyone in the room and good morning, good evening for folks who are joining us remotely. I'm Anil Wadhwani, Chief Executive Officer of Prudential plc. And it indeed is a pleasure to welcome all of you to our full year 2022 earnings call. I'm truly excited to be part of Prudential plc. And I've known Prudential as a competitor and I've always admired Prudential, because I have competed with them in every single market that Prudential operates in. Clearly, Prudential has a lot of strengths: the brand, the rich history of 175 years, great distribution, diversification, the trust and confidence of 18 million customers. Clearly, a lot of strengths, and as I said, in every single market they were a formidable competitor. What I get to the table is 32 years of experience in financial services, last five have been in Asia, leading a competitor both on the asset management as well on the insurance side. So I have operating experience in many of the markets that Prudential operates in and have a fair amount of knowledge in terms of both the opportunities and the challenges in the markets of Asia, in specific. This evening, this morning I have the pleasure of introducing my management team. So on my right James Turner, our CFO; next to him is Dennis Tan who runs the Singapore Vietnam and Thailand; Avnish Kalra next to Dennis, our Chief Risk Officer -- Chief Risk and Compliance Officer. On my left is Lilian. Lilian Ng runs Greater China; Solmaz Altin runs Malaysia, Indonesia, Philippines, obviously manages our joint venture partnership in India, Africa and also is responsible for digital and technology. And next to Solmaz is Wai-Kwong. Wai-Kwong is our CEO of our captive in-house asset management company Eastspring. And together, we will be responding to your questions and I really look forward to the interactions this morning this evening. At this juncture, I also wanted to extend my sincere gratitude to Mark who is in the room with us. Mark has been absolutely superb in terms of his contribution over the last six years, but more specifically in the last 12 months. And his leadership has been instrumental in putting Prudential in a position of strength as we look to addressing the growth opportunities, specifically in the high-growth high potential markets of Asia and Africa. So on that note, I'm going to turn it back to Patrick and we can get rolling with the question and answers. Patrick?
A - Patrick Bowes: Thank you, Anil. And maybe I'd like to invite the moderator just to give the instructions as to how you can lodge your questions if you're on the phone or on the webcast. Okay. In the absence of that specific instruction, I think its #1 if you are on the phones, to make yourself known on the phones to log your question. We do have a logging systems there we will able to track it. So maybe we can start by going to the floor of the room. And if you want to put your hand up, and just identify yourself and your organization. We will hand the mic around and then we'll go and do some questions from the floor in the first instance. Michael, was early Thomas was next – Thomas goes first. Okay.
Thomas Wang: Thank you. Thomas Wang, Goldman Sachs. A couple of questions, I think mainly on the Hong Kong business. I just want to see what you're seeing on the Hong Kong business in terms of the Mainland China visitors segment, and also the domestic segment how are you seeing that rebound and what you're hearing from the agents? And then maybe a question follow-up for James is the margin, when we look at the margin obviously first half second half last year there's quite a large difference. Just when we're thinking about going forward, which one is the reference point when we're thinking about projections and margin? Thank you.
Anil Wadhwani: Thanks for your questions, Thomas. Let me tee it up with the MCV and the Hong Kong business question, and I'll pass it on to James for his comments on NBP margin. But before I answer the MCV question, specifically I just want to kind of step back and provide a bit of context in terms of how did we – how did we create the momentum getting into 2023. And we employed specific emphasis on the needs – on the diverse needs of the Hong Kong domestic customer. And we saw traction on account of that in the second half of the year, as compared to the first half. That also led to a high level of agent activation, and it put us in a good position as the borders opened up. And once the borders open up, we have kind of seen the Mainland Chinese visitor traffic coming in. It's clearly not at the peak levels that we were accustomed to in 2018, 2019. Our estimate is it's about in the range of about 40% to 45% right now, but it's starting to have a positive impact on the volumes. Now unsurprisingly, the first set of customers coming in, based on at least what we are witnessing, is more towards – skewed towards the affluent segment, and as a consequence of that the demand that we are seeing is coming through more towards the savings products. Having said that, I clearly understand that our emphasis is going to be on providing a diverse set of products, to address the diverse set of needs, including those of mainland Chinese customers and the momentum is going to complement some of the good work that Lilian and team did in the last year on the domestic market. So I'm going to stop there, I'm going to turn it to James to address the new business margin question, and then I'll probably also ask Lilian, if she has any further comments on the Mainland Chinese visitor customer. James?
James Turner: Thank you, Anil, and thank you for the question. So in terms of the Hong Kong margin, the thing to remember is that we're applying an EV methodology, and we're marking to market. And we're marking to market at the year-end rate for the whole year. So it's not – at the half year, we mark-to-market at the half year. So it went from 150 bps at the beginning of the year to 300 at the half year. By the year-end that was at 390. But when we – under our methodology, we mechanically revalue the whole year at that year-end rate.
Anil Wadhwani: Lily, do you want to add anything on, Mainland Chinese…
Lilian Ng: Yes.
Anil Wadhwani: … visitor customers?
Lilian Ng: Thank you, Anil. I think two points I just want to add, Thomas you mentioned about the domestic segment. I think what I said, in 2022 we've been able to actually grow our market share from half one to half two by doubling. So our half two market share is 10%. And that built actually a very robust platform for us to continue capture the opportunities of the domestic market. In terms of the MCV segment, the early signs we are seeing. As Anil was mentioning, it's more on the affluent segment. But what is very good to see is that 58% of the MCV are new to Prudential so far in the first two months. So I think we are very well positioned to capture the opportunity.
Anil Wadhwani: Thank you. Lilian.
Patrick Bowes: Okay. Thank you. Who's next? Oh, go in the first. Sorry, Michael. I'm sure you'll be nearly next.
Edwin Liu: Hi. This is Edwin Liu from CLSA. I have a question on Indonesia market. So we have seen some goodness in that market for several years. But I think this year we have seen some stabilization. So my question is would you say we have seen the bottom of the Indonesian market. And going forward with the growth of that business driven more by bancassurance or agency or both? Thank you.
Anil Wadhwani: Yeah. That's a great question. And clearly Indonesia is a critical market for us. So I'm just going to offer my opening comments and I'll then turn to Solmaz to provide greater color. But Indonesia is a focus market for us and we've had leadership position in that market and unsurprisingly so because we have a vast distribution specifically on the agency side and if you combine the Conventional and the Sharia business we have been in a position of strength over many past quarters. I'm going to stop there, and I'm going to turn it to Solmaz to provide some further insights. Solmaz?
Solmaz Altin: Thank you, Anil and thank you for the question. We did indeed see a strong recovery Indonesia in the second half. In the second half APE grew 44% versus first half. And we see that momentum mainly coming from agency channel. Banca was strong in growth throughout the year. So looking forward we also see the momentum in the first two months continuing. And the agency channel plus the banca channel will be both channels that we're betting on also for the future.
Patrick Bowes: Okay. The next, I was going to allow someone else, but you did get your hand up first. Ahead Michael, you'll go.
Michael Chang: All right. Thanks, Michael Chang, CGS-CIMB. I'll ask on Mainland China. So last year obviously a very strong set of performance. I think bancassurance performance in particular stood out. Maybe you could shed some light in terms of the partnerships that were signed last year I think there were 11 new bancassurance partners. And in the report itself CMB was mentioned specifically. Could you maybe shed some light on how well diversified is the bancassurance growth? How much of it is concentrated with CITIC and CMB versus the others? And maybe year-to-date what's the bancassurance sign-up rates like? And also related to Mainland China the agent channel I think started to show some signs of recovery, what's the agent recruitment rates like right now year-to-date? Thanks.
Anil Wadhwani: Thanks for your questions Michael. Multiple questions in that, and I'm going to ask Lilian to provide you greater detail. But let me start by saying that, you're absolutely right. We have a multi-format channel on -- in Mainland China. And as a consequence of that we were able to deliver 15% new business profit growth last year on the back of 19% sales growth. So, that was pretty strong given the environment that we were operating. And in some sense underscores the diversified nature of channel mix that we have. You're right in saying that as the COVID measures get relaxed, you are going to see greater emphasis on agency and agency activation. And that is something that we are already witnessing on Mainland China. I do want to kind of, before passing to Lilian, emphasize the fact that the structural demand drivers on Mainland are very much intact. So, it's really positioned well for medium to long-term growth. And again given our capabilities on the ground, we feel very optimistic in terms of addressing those customer needs. But Lilian you may want to provide some greater detail.
Lilian Ng: Yes. Thank you, Anil. In China, I mean like in most of all our business, we have a diverse multi-distribution platform. So, on the bancassurance front, actually we work with 59 banks across 6,687 branches. And we've been able to increase that outlet by 11% in 2022. And that's supported by also three dozen insurance specialists. So, we are actually blessed. We have a diverse portfolio of working across the national banks, the commercial banks, as well as the foreign banks. And we also were blessed that we -- because we have a shareholder partner in CITIC Bank and also a strategic partner in Standard Charter Bank. So, this is how we have the platform we have in bancassurance. But having said that we also have -- are also building the quality agency force within China as well as in CITIC Prudential Life and we've been able to grow our MDRTs to 1,000 and agency productivity has grown 9%. So, taking that forward into 2023, we continue to actually ensure we have the relevant customer proposition to serve two areas, mainly protection as well as savings, in particular retirement planning. And that is supported by the government agenda as well as supported by the regulator on long-term savings and protection.
Anil Wadhwani: Lilian you may want to address the CMB question, I think Michael asked specifically.
Lilian Ng: Okay. So, in China, bancassurance is an open architecture. So, we've been able to actually engage with in particular the Shenzhen branch of CMB and that's where we have been seeing a lot of growth in that area in particular in the GBA area.
Patrick Bowes: Right. I think we'll have some diversity. Could we have some questions from the second row please?
Michelle Ma: Hi management. This is Michelle from Citigroup. So, my first question to Anil just out of curiosity what onboarding, what's the top three items in your to-do list? Can you share with us? And second thing I think investors these days, they pay a lot of attention to the asset side. So, for our disclosure out of our $11.5 billion corporate debt in the shareholder-backed debt, I noticed there is -- 34% belongs to the financial sector. Can you shed some light on how much belongs to North America or other regions? Thank you.
Anil Wadhwani: Thanks Michelle. Thanks for the question. Again two-part question. Let me address the top three priorities and then I will hand it over to James and Avnish to answer your second question. So this is week three and I'm still finding my way to the coffee machine. But in terms of priorities, clearly three of them. Obviously, there are going to be many, and I obviously will have to kind of get to that in due course of time. But if I have to simply pick three, its people and culture, our customers and our operating performance. And what I can tell is just based on my initial interactions with talent, they are highly committed, highly focused, highly energized to be able to write the next chapter of growth for Prudential. I'm going to stop there turn it to James first and then to Avnish.
James Turner: Michelle, thank you for the question. So the balance sheet as you know is very conservatively positioned. And that 34% of our shareholder assets, the way that it's split about -- that equates to $3.9 billion. Approximately $1.1 billion of that relates to US banking stocks. 97.5% of those are investment grade, 95% are systemically important bank, so the big JPMorgan, Citi, yourselves et cetera. And so very conservatively positioned. In terms of the banks that are in the spotlight so SVB and Signature, our exposure to SVB I think was around $1 million. And that's out of a $23 billion book I mean it's less than -- we're talking about one or two basis points.
Anil Wadhwani: Avnish, should you like to add anything?
Avnish Kalra: Just one more thing to add that as you would expect from a company of our size scale and history, we have a very well-developed credit risk framework which relies on concentration risk, single-party limits et cetera to kind of cover the exposures that we see on a day-to-day basis. So we are well positioned on that.
Anil Wadhwani: Thank you. 
Patrick Bowes: Thank you. Just to clarify, I think it was 34% not of our group net assets just of those investment credit, investment credits, not the group, yeah. Okay. I think you had another question. And then I'm going to go to the phones because otherwise they'll...
Tianjiao Yu: Hi. Good to see the management today in person. My name is Tianjiao Yu from Bernstein. I just want to follow-up on the Hong Kong recovery. Can you give us a bit color in terms of the agency business, how many agents you kept now versus 2018's level? And also, I saw on the presentation slide, you have a slide showing the visitor numbers compared to 2018. I'm just curious, can we use that as a way to gauge how much you can recover this year?
Anil Wadhwani: Yeah. Thanks for the question. I think Lilian will be best placed to kind of speak to the agency. But I do want to preface it by saying that it's still early days. We only have experience of about seven to eight weeks and the momentum started in terms of the visitors coming into Hong Kong. We saw a distinct momentum pick up in February. And that's continued as we kind of progress through February into March. But it's still early days for us to kind of gauge the full impact of it going forward. Lilian, any comments on agency in specific?
Lilian Ng: Yes. Obviously, we have about 19,000 agents in our total force. Actually, 80% of them actually join us before the pandemic. So what I'm trying to say is during the pandemic, we have been able to continue to motivate and activate these agents. Now of that 19,000, around 10,000 are actually MCV-focused agents. So a lot of the activities we are seeing in the first two months is actually driven by this group of agency force.
Tianjiao Yu: Can I just follow up with one more on the IFRS 17? There's guidance on the operating profit reduction. Can you talk us through, what's driving that change I guess mostly from the in-force book?
Anil Wadhwani: Sure. I think, I'll turn it to James but I just want to say that IFRS 17 is an accounting change. It fundamentally does not change our business model, our strategy, our valuation, our operating free surplus generation. It does not change that. It's an accounting methodology and does not impact our business strategy. But I'm going to turn to James to provide you greater insights.
James Turner: Thanks, Anil. And it also – on to that long list of things, it doesn't change, also it also doesn't change our dividend paying capacity, and our dividend policy. And so really the key thing to recognize on the IFRS 17 is that our shareholders' equity has increased. And it's increased and we've given a range on that between $1.9 billion and $2.8 billion. And that increase is reflecting profits that we've never recognized under the previous IFRS four regime. So for example, with profits things like that our terminal bonuses under IFRS 4, we'd have recognized them when they are paid. Now, they're accelerating and brought forward and added to our shareholders' equity. The guidance we've given on the reduction in operating profit from our IFRS 4 operating profit of $650 million to $850 million reflects really timing differences again, because as Anil said, this is just accounting, right? So from a timing difference perspective, there is both one-off impact. So this year there was approximately $200-odd million that was recognized as a one-off gain from the introduction of Hong Kong RBC. There's then the new business. So when we sell new business rather than being able to recognize the profits under IFRS four immediately, we have to spread those over the lifetime of the policy. And then the balance really as a consequence of that increase in equity. And it's really that flowing through in terms of we've had those profits.
Patrick Bowes: Thank you. Let's open up the questions on the phones, please. Over to you, operator to let the first question through please.
Operator: Thank you. Our first question for today comes from Blair Stewart of Bank of America. Blair, your line is now open. Please go ahead.
Blair Stewart: I've got two questions. The first question is on agency. You touched on the Hong Kong agency, and how much damage might have been done through the pandemic. I seem to remember you're having about 24,000 agents in Hong Kong. So it looks to me, like you're trying to replenish from the lost agents in the pandemic. And I just wonder, if we could expand that discussion across the other main territories albeit briefly, I recognize, there's a lot of territories. But what's been happening to the agency? And to what extent does that need to be repaired? And I'd imagine, there's a fair amount of competitive behavior amongst agency as well in terms of your competitors looking to pick up your agents. Sorry for the long question. My second question is on IFRS 17. James, I'm assuming that, the quid pro quo of a lower IFRS 17 starting point from an earnings perspective is that we might expect faster growth in profits in future than we might have seen under IFRS 4. Would you – could you just add some color around that? I know you're going to give more detail in June. But conceptually is that, the way we should be thinking? Thank you.
Anil Wadhwani: Thank you for your question.
Blair Stewart: Thank you.
Anil Wadhwani: I'm going to ask Lilian to answer the agency question. She did mention that we have 19,000 agents, but I think she can provide you a little bit of context in terms of where we are coming from, where are we and what's our plan to grow our agency force, specifically, in Hong Kong and then more broadly across the region.
Lilian Ng: Okay. So, Blair, thank you. Thank you for that question. I think, what we see in terms of the attrition of the agents in Hong Kong is mainly outside of the industry. Obviously, during the pandemic, it's very challenging to actually acquire customers. As a result, they actually leave the industry. Now, obviously, we will continue -- as I mentioned 83% of them, we will recruit from -- of the 19,000 we have is actually still with us from 2019. So we're now, obviously, driving a recruitment to replenish. In 2018, 2019 on average, actually we recruit about 6,000 agents per annum. So this is what we're going to continue to drive the recruitment with the economic activity coming up and we are seeing a lot of momentum already in terms of recruitment. Now, for the overall agency in Asia and Africa, we actually see in 2022, actually recruitment is up by 9%. So the whole -- with the economic activity coming back up, other than Hong Kong, I think a lot of the markets actually opened earlier. We are seeing that recruitment drive and the productivity growth has been increased by 6%, so a lot of good momentum in terms of our overall agency in Asia.
Anil Wadhwani: Thank you, Lilian. James, if I may pass it on to you for the IFRS.
James Turner: Sure. Blair, thank you for the question. I was expecting a lot on IFRS 17. So, look, in terms of the quid pro quo, really, the key point to recognize is the CSM, that's store of value. And you can see from the information in the deck that, that's going to be about circa $25 billion. And that will really unlock and unwind over time. And we anticipate that that will unlock in the range of kind of 9% to 10% a year. And it's really going to be -- given that the total profits from the sale of any product doesn't change this is really going to be about timing. And what we do know is that, profits are smooth. So the profits are recognized over the service that is provided to the customer, which is typically the policy term. And so, the way that you've got to think about it is, I think that it's going to be about what are we adding to CSM? It's not just going to be about the operating profit. It's going to be about what we add to that CSM balance and that stock of future profit there. But you're right. We're going to sit down in June and have a real big deep dive into IFRS 17.
Blair Stewart: Okay. Thanks.
Patrick Bowes: Okay. Let's keep going on the phone for the next question please, moderator.
Operator: Thank you. Our next question for today comes from Kailesh Mistry of HSBC. Kailesh, your line is now open. Please, go ahead.
Kailesh Mistry: Hello. Hi. Thank you. Thank you, very much. Good evening, everyone. So the first question, I guess, is for Anil. He very eloquently highlighted his outside-in observations on Prudential. Perhaps, if you could just follow up and just ask him which market sub-segments are you most excited about for the next three years and why? And what are your thoughts on the Pulse platform that has been built already? Will you be investing further in it? And what areas will you look to improve the proposition? The second question is around Indonesia. I think, James mentioned in his slides, agency transformation in Indonesia. Can you provide a little bit more color on that and how long it will take and what are the key objectives? And then just one last one, if I may. In the CFO appendix slides, the reason I'm asking, this is there's a lot of noise in the market about the investment mix. So I just wanted to pick up on the slide, where it shows the corporate bond by rating profile. Could you just sort of reiterate why there's quite a high proportion in the BBB and below? And what has been the default experience over time on that portfolio? Thank you.
Anil Wadhwani: Thank you, Kailesh. Many questions so let me try and orchestrate this. Let me start with your first question on which are the markets that I'm most excited about. So, if I were to just step back, and just look at the diversification mix around geographies that we have 42% of our new business profits are contributed by Greater China; 53% is contributed by ASEAN and we have leading market positions in many of the ASEAN markets; and then we have India and Africa. Now there is growth opportunity in every single market and that was one of the reason, why we pivoted solely on the high-growth high potential markets of Asia and Africa. But if I were to simply pick up two China, obviously is exciting just kind of given the sheer size of China and the share size of the opportunity that we have there. That is bound to be one of the more exciting markets for us. India, again similar population as compared to Mainland, but a much younger population to that. And again, in both these markets, there is significant under penetration as we know, whether it comes to health wealth protection, savings, or investment needs. And we believe that, given our joint venture partnership across these two markets, we are very well positioned to be able to address those opportunities. On Pulse, and I will kind of steer it back to Solmaz. But I do want to preface it by saying, Pulse is part of our digital strategy. And the way, we think about our digital strategy is to solve for the pain points of the customers. And the moment, you do that the moment you create greater ease, greater convenience, for our customers and for our distributor partners, you end up winning market share in my experience. I'm going to stop there. I'm going to turn it to Solmaz, and then we'll come back to your Indonesia and the investment mix question. Solmaz?
Solmaz Altin: Thank you very much, Anil, and thanks for the question on Pulse. Pulse has been developed over the last few years and is a strong asset in the digital estate of Prudential Group. We will continue to develop Pulse as a key customer servicing and customer engagement. The technology focus going forward will be on developing tools and systems that will support our distribution banca and agency channel to do their business more effectively and more efficiently. The second focus is customer experience both of in-force customers and then creating potential leads also then playing back into our distribution forces. So, our focus clearly is to create a better customer experience, every step we go and then increase operational effectiveness and efficiency going forward.
Anil Wadhwani: Solmaz, you may want to answer the Indonesia question on agency transformation as well.
Solmaz Altin: Yes, thank you very much. Now important to note is that, we have regained the market-leading position in Indonesia this year in 2022. Now, in order to consolidate that position, we embarked on a transformation program, which we call Transformation for Accelerated Growth. It's not only focused on agency. It's one of the focus points. And here we are addressing agency activation, our agency sales management, how we activate our agents and recruitment of agents of course. It has more pillars than that. We're also looking into operations and claims, especially focusing again on customer value and shortening the time where customers have to wait for getting their claims paid and things like that, as well as expenses. So, it's a comprehensive transformation program in order to consolidate our market-leading position in Indonesia.
Anil Wadhwani: Thank you, Solmaz. I'm going to now turn to James for the investment mix question. 
James Turner: So, Kailesh, it's James. Listen, thank you for the question. As I said earlier, I think that our balance sheet and our shareholder debt position is incredibly conservatively positioned. But let's just take it through the elements that you asked the questions on. So first you asked about, what was our total defaults. And our total defaults last year was $75 million in total. In terms of the split, I think what I need to flag and you can -- as you say you referenced the elements in the CFO appendices is that of the total shareholder debt of $23 billion, $0.89 of that is investment grade, 55% of it is A minus and above. Of the amount that is below investment grade, that is largely made up of three buckets. The first is and we do clearly asset and liability matching by country is we have significant business in Vietnam. As you know, the Vietnamese business has a -- sorry, the Vietnamese sovereign debt has a -- is not investment grade. And therefore, all of the corporate debt by definition is below investment grade. And that accounts for 46% of our total noninvestment-grade exposure. The balance is really between Thailand which has a BBB investment grade and similarly therefore a chunk of the corporates that we used to back our business in Thailand is therefore below investment grade. And we have some high yield in the US, but it's relatively minor in the scale of the $23 billion of total exposure. And as I said in response to one of the earlier questions, our losses have been really small.
Patrick Bowes: And maybe just a clarification. I think on the [indiscernible] to investment grade and not investment grade, we use independent rating stepping in terms. Okay. Thank you. Okay. Back to the moderator, just to remind people how to log their questions please.
Operator: Thank you. [Operator Instructions] Our next question comes from Larissa Van Deventer from Barclays. Larissa, your line is now open. Please go ahead.
Larissa Van Deventer: Thank you, very much. Just one question. You say that you want to focus on operational performance improvement. Do you see more runway in sales volumes, quality or margin? And are you able to quantify, how much upside you see in the near term please?
Anil Wadhwani: Yes. Thank you for the question. I guess the short answer is all of the above. But as I said, I am in week three and I will be getting to many things. And one of the emphasis that I would like is understanding our strategy and operational capabilities. And in the August time frame, we'll be more than happy to come back to you and share with you a much more granular strategic road map. But as I said, the short answer would be quality and quantity and not one at the cost of the other.
Larissa Van Deventer: Thank you.
Patrick Bowes: Thanks Larissa. I think we can come back to the floor. They've been very patient. We've got a gentleman at the back who's got a question.
Leon Qi: Leon Qi from Daiwa. One question on Hong Kong MCV and the other on your capital. Firstly, I just want to swing back to MCV. I appreciate the color just now. You mentioned your headcount, agency headcount movements. We've noticed some news in the media recently talking about the agency hiring plans for Prudential and also your competitors. Well, interestingly we've seen that actually Anil's old shop is -- actually has a more aggressive plan than Prudential, especially given they have a much smaller presence than us. So just want to hear anything -- any color from either Anil or Lilian around this on your agency hiring plan in Hong Kong and particularly MCV? Second question on capital. I think the background here is that Prudential went through several restructures over the past few years and also the solvency regime in Hong Kong and also Mainland China went through two major changes. But now these are behind us. So starting afresh for now, what will have to happen to make you take any revisits to your capital management plan from here? Yes these are the two questions I have. Thank you.
Anil Wadhwani: Thank you. Thank you for your question. And on Hong Kong MCV, I'm going to ask Lilian to provide you greater color. But let me start by saying that coming in, I'm already looking at MCV very closely as you can imagine and seeing whether we have an opportunity to refresh our plans. We have 10,000 MCVs focused agents as Lilian mentioned. And I believe there is an opportunity to firstly activate the agents that have gone quiet during the COVID period as you can imagine; but at the same time also hire train quality agents that can focus both on domestic but also on the MCV market. So I'm going to turn it to Lilian who can apprise you of her latest plans.
Lilian Ng: Yeah. So, obviously, recruitment is part of what an agency force does. Of the 19,000 agents, we probably got about 8,000. These are agency leaders who their role is to go out there every day to recruit as far as activate those agents. Now one thing we need to pride ourselves on Prudential Hong Kong is we do have a platform. So when -- what trigger an agents joining a company is the infrastructure, the platform, the products, the operations and we believe we have a very robust platform to allow our agents who are onboarded to actually deliver for the customers.
Anil Wadhwani: And to your second point, so firstly you've seen our capital position, which is very strong, right? And we would like to keep it that way, because it gives us ample flexibility in terms of addressing the different opportunities. But I'm going to ask James to provide you further texture on that.
James Turner: Thanks Anil, and thank you for the question. So look we see our capital allocation policy as a way of maximizing shareholder value and maximizing our shareholder return. And really, we're really crystal clear in three priorities. The first priority always is organic growth and funding that organic growth, because we see these amazing opportunities across the region, we've talked about some of them already today and ensuring that we can absolutely maximize that. That's our first priority. The second is really in terms of strengthening our capabilities whether it is in customers, whether it's people, distribution, and really adding to our capabilities so we can accelerate that growth. And then third is just in terms of if there are strategic opportunities in line with our strategic intent, then clearly we've considered those as well. But the primary focus, stress is really on funding that organic growth and those organic opportunities.
Anil Wadhwani: Yes. And I think that's logical because these are the businesses that we understand. We have a track record. So, we would like to deploy capital where we have experience and there is potential to grow further. So, I couldn't agree more with James in terms of the way he's articulated it. 
Patrick Bowes: Hold on a second. Please wait for the mic.
Leon Qi: Sorry. Just a follow-up. Other than the potential inorganic that you have already commented, what about returning to shareholders? Do you have any thoughts there?
James Turner: So, I think look we have entered this new phase. Now, we've completed all of the transformations with an incredibly strong balance sheet that is focused really on taking advantage of the opportunities we have in front of us. And you've got to remember that for every $1 that we invest we get a $4 of return. And at those attractive IRRs with really fast payback. That's the best way we see of adding to shareholder value.
Patrick Bowes: Thank you. Let's take another question from the floor and then I think we've got one or two on the web as well and then I'll go back to the phones. Michael you're going to ask for two questions. Maybe we'll see if anyone else has one. There we go at the back.
Unidentified Analyst: Thanks. [indiscernible] from Huatai Securities. I just want to ask what's your house view on the -- about the interest rate environment in the future, I mean next one to two years? And how will it impact our product mix and investment allocation. That's the first question. Second question back to the normal period before the pandemic is about the Hong Kong agent. What's a normal attrition rate of this agent team? Thanks.
Anil Wadhwani: Normal attrition rate. All right. Let me first go to a combination of Wai-Kwong as well as James to talk about our house view and then Lilian will address the Hong Kong agent attrition question. Wai-Kwong you want to go first?
Seck Wai-Kwong: Yes. Thank you very much for that question. Obviously, you need to try and forecast where interest rates are going, especially this year is going to be very, very challenging. Obviously, we've seen how rates have been rising over the last year or so. We still think that the Fed will probably need to keep a very fine balance. And especially after the events over the last few days, I think that next week's meeting will be pivotal in terms of deciding the cost of things from -- for the rest of the year. So, I would just say that I think we've just got to watch that space very carefully.
Anil Wadhwani: James any additional comments?
James Turner: I'd say -- the only thing I would add is that look we have a really diversified portfolio of products with health and protection, IOP, savings. And therefore we have lots of opportunities to really meet all of our customers' long-term needs regardless of the interest rate environment. The other thing is that if you look at our source of earnings, a significant proportion is from health and protection and that's not really impacted by interest rates. So, Wai-Kwong is right, I wouldn't like to try to guess the -- where interest rates are going to move even in the next week, let alone the next year.
Anil Wadhwani: Thank you, James. Lilian anything on the Hong Kong agent attrition?
Lilian Ng: Sure. In Hong Kong to become an agent, they have to go for quite a rigorous examinations. And secondly, we also actually put through each of our new agent, or when they are candidates go through like, what we call, profiling to ensure that these are the right people in terms of wanting to do financial advice as a career. Now with that in place, actually the attrition rate is actually reduced to about 20% to 30%. But for those that hasn't gone through the profiling, obviously, that -- it's not -- the suitability test will help to get there. So that's probably pre-COVID. As I mentioned, during the COVID, the attrition rate is mainly due to they couldn't get enough business to sustain their income.
Anil Wadhwani: And that's why we remain optimistic, because the COVID relaxation is going to result into agency activation, which is going to result into income for the agents, which in many ways is going to be the tool for us to drive better retention.
Patrick Bowes: And, Anil, if you bear with me, I've got to read out some questions on the web. I'm going to do a quick fire one for James. There's four or five which we should run together in the interest of time. It's already close to 2:00. Just very quickly, could you repeat the exposure to US banking investment, some of the individuals had a poor line? That's the first one. Second one is on capital. Any thoughts about the 150% floor that you have in terms of the way that you look at your free surplus ratio on top of the GWS requirements? And is there any color about the individual markets around the 15% overall group growth rate in sales? Those are the first three.
Anil Wadhwani: Thank you, Patrick. James do you want to take the first two and then I'll -- I'm happy to address the third one.
James Turner: Okay. So the first one was, the US banking exposure, I think, and so, what we said is that, there's a total in the shareholder debt portfolio of $1.1 billion, 97.5% of that is investment grade, 95% is in systemically important banks.
Anil Wadhwani: And the second question was the 150% floor for free surplus.
James Turner: So, in terms of 150%, that's the risk appetite. It's a dynamic risk appetite, where what you're seeing is that, we have 302% capital ratio and that's the associated capital ratio regarding that risk appetite. So we're significantly above the level of our risk appetite.
Anil Wadhwani: Thank you. And on the third question, we won't get into market-specific dynamics in terms of growth. Suffice to say, as I said, the greater relaxation on account of the COVID measures abating will result into agency activity, not only in Hong Kong and Mainland, but more broadly across the Asian markets. And we've already signaled to you, in terms of the positive impact that we are seeing on account of the MCV or the -- at least, the initial flow of the MCV customers coming into Hong Kong.
James Turner: Okay. Thank you. And I'll just give you another one and this time a change of markets. It's on Malaysia or it used to be on Malaysia. It looks like they've dropped off. I will move on. Okay. Yes, please, this is from Sudarshan at SocGen. Can you please provide some color on the new business outlook for Malaysia? Can we expect some recovery after the decline in this year? Do you think there will be a subdued growth in the near future? Thank you.
Anil Wadhwani: Solmaz, do you want to take that?
Solmaz Altin: Yes, happy to. It's important to note that we have a prime franchise in Malaysia. We are on a consolidated level, still number one in absolute premium when you combine the convention and the Takaful footprint. So we're very excited about Malaysia. We have the biggest agency force and we have -- we are a clear market leader in Takaful insurance with a huge potential with about 64% of the population being the Bumi population and we are the clear market leader there. We have seen strong banker growth in Malaysia over the last year and the numbers when you look at it after the medical repricing one-off effect in 2022, we have dropped in APE by about minus 2%. The market overall dropped by 6% and in conventional by minus 9%, so comparing that, we did actually quite well in Malaysia. And the first two months, looking at the overall guidance of 15%, we will see some momentum in Banca continuing an agency as well.
Patrick Bowes: Okay. I'll keep going. The next one is from Premier Mitin Investors. And it's on Mainland China JV. Could you please comment on the changes in the mix of products that you see demanded by customers in the Mainland business? Is health and protection losing share here? Would it be to assume that new business margins will reflect the reduction in health and protection demand that we saw last year? Thank you.
Anil Wadhwani: Lilian, would you like to address that -- the product mix question for Mainland China?
Lilian Ng: I think obviously in our business, we ensure we have a comprehensive customer proposition across from savings protection, as well as retirement planning. So, what we are seeing is actually there is still a demand for health and protection. I think subsequent to the change of regulation in critical illness in 2021, we continue to refine our product, our critical illness in 2022. And what we actually have done is actually from a customer proposition is added what we call a critical illness battler. So these are the things that help to address the customer pain points across. And we have seen as a result in actually our GPA area in Guangdong alone, about 27% of our APEs coming from this critical illness product. And that's what helped as to drive an MVP of actually our GBA area by 72%. So this is how we focus on protection. The other exciting piece that we are looking at is actually driving our retirement planning proposition, which is at the back of the Pillar three pension, which is to help people to actually save for retirement. In CITIC Prudential, we have around 22 products that actually address retirement planning. And so -- and most of them actually qualify for that tax benefit that has been put out by the State Council. So we are continuing to be very excited and are well positioned to drive protection and long-term saving and that's where we're going to continue to address the customer needs.
Patrick Bowes: Okay. Last two from the web and they're both on margins and interest rate sensitivity. The first one is, in terms of sensitivity of new business margin to interest rates, with your sensitivities, can we understand the pace of change -- a likely change in margins if interest rates rise again this year? And more holistically, how do you see the impact of rate rises on demand for savings versus protection and lapses on savings products? That's the first one on margins. And the second one on margins is specifically to the MCV market, whether or not, what's the margin outlook for this business and the momentum for this business.
Anil Wadhwani: James, would you like to take the NBP sensitivity and the rate rises and the impact on lapses?
James Turner: Okay. So, let's start with lapses. I mean, what you've seen in this business now for a number of years is incredibly resilient persistency. It stayed around 89%, 90% and that hasn't changed. And that's because we're offering long-term products for our customers that they want ultimately regular premium that they continue to pay. So we're not seeing any -- all the way through COVID, all the way through all of the disruption, we haven't seen any disruption to our persistency levels. So that's the first point. In terms of sensitivities, you've seen those in the deck. They are clearly from an MVP perspective, we are -- we do have economic sensitivity for the reasons that I mentioned before. But ultimately the underlying profitability of these products is strong and this is really just a discounting effect because of our focus on health and protection.
Anil Wadhwani: Okay. Thank you James. And before I ask Lilian to comment on MCV margin, historically as we know the margin on MCV has been higher. I did mention in my earlier comments that the initial set of demand that we are receiving across the border is coming in the savings product, which tends to be lower margin as compared to health and protection. And if you think about health and protection, those typically take a longer duration in terms of the sales cycle as compared to the savings product. But as I said, the focus for us and for Lilian's team is to ensure that we have the entire range of products addressing the diverse needs of customers across savings health, wealth and protection. Lilianm, any specific comments on MCV margin?
Lilian Ng: So, obviously, the margin is driven by a combination of sales and the product. So -- and also what we are seeing in the early stage of MCV, we see the case size has actually doubled pre -- before the COVID. So that is actually have an impact on the overall margin as there's more volume that go into the savings products. But having said that, in terms of the number of policies, actually 50% of those MCV customers continue to take up in health and protection product as well. So we will see that as the year goes. I think we see more balanced product mix going forward.
Patrick Bowes: All right. Thank you. Conscious of time, we've got seven minutes, six questions on the phone. And I think if I ask you there's probably some more on the floor. Let's go back to the floor in the first instance for a last sweep from the floor. Okay. Having said that then there's no hands up. Okay, good. On the phones, let's go to the next caller on the phone please moderator.
Operator: Thank you. Our next question comes from Farooq Hanif from JPMorgan. Your line is now open. Please go ahead.
Farooq Hanif: Hi. Thank you very much. Very nice to know that you're here, Anil. Just quickly on India. There have been some regulatory changes impacting the tax benefit of products, but also allowing licensure to sell more products. Could you talk about your views on the regulatory environment there and how supportive it will be and whether you would ever consider getting a larger share of that JV prior to strategic investment? And then lastly, a quick one. You mentioned Macau taking some time to develop. Could it make any impact in 2023 sales to Hong Kong? What's the time line? Thank you.
Anil Wadhwani: Sorry, I didn't get the second part of the question. Could you please repeat?
Patrick Bowes: Macau impact in 2023.
Anil Wadhwani: The Macau? All right. Thank you. All right. Let me start with the India question. I'm going to ask Solmaz to comment on the regulatory changes that he's witnessing. But more broadly on India, India clearly is an exciting market, right? Large population, very similar to China Mainland, significant underpenetration. We have a strong joint venture partner in form of ICICI and they have a good track record in terms of performing in that market. I did mention that, I will be reviewing our strategy and our operational capabilities between now and over the next six months. And we will come back to you with a strategic road map in terms of how do we want to kind of grow our business forward both across Asia, as well as Africa. Solmaz, do you want to comment on the Indian regulations specifically the tax-related changes impacting – I think it's the ILP product?
Solmaz Altin: Yes. I'm happy to do that. If that was a question, I'm happy to explain that first. And if you have another question with regard to regulatory happy to follow up on that. Now in the bill, it's currently only a bill, and the final implication will be only crystallized once the act is passed. Our understanding is that, the policies sold until the 31st of March will be outside of the scope and the only policy sold from April 1, 2023 will be covered. And if the total annual premium paid for not unit-linked policies exceeds INR 500,000 then the difference between the total benefits received and premium paid would be subject to tax as other income is. And also, understanding is that the debt benefit would not be considered in this computation. So in this context, as it's closed in our results the APE product mix for the nine months financial year 2023 were well diversified with 41% unit-linked about 20% protection and 6.3% annuities. And there's been several inquiries post the budget announcement. We wish to bring to your attention though that the share of business of non-unit-linked proceeds with annual premium of above INR 500,000 is just approximately 6% of the total APE. So, on a practical level this business is not expected to go away completely. Hence, the net impact on the business is expected to be trivial. And this is also in line with the announcements made by ICICI in this regard.
Anil Wadhwani: Thank you, Solmaz. And going to the Macau question, I think before, I ask Lilian to provide the update on that one, we're firstly delighted to have the Macau license. And what it does is in many ways complements our Hong Kong business as well as our presence in South China across the nine cities in GBA. So we now have coverage across all the 11 cities in GBA. And we believe as the regulation evolves GBA, clearly is, an opportunity that we would be keen to address. So as I said, we are looking forward to the launch of our business in Macau in quarter two. Lilian, any other points?
Lilian Ng: Yes. Absolutely, I think we're now just doing the company registry opening bank accounts, it will launch in quarter two. So we have – make an impact in 2023. One thing, I want to highlight obviously Macau we are there to the 680,000 people of Macau. And also remember, the MCV traffic is about $1 million a month. So that's another opportunity for us.
Patrick Bowes: I'm conscious that, we're more than out of time, but we still have some on the phone. So if I can ask the next callers. You have literally 30 seconds to ask your question and the answer is there could be two sentences. We will do every one the honor of actually trying to get through them. I appreciate that there is another firm due to announce results any second now. So there's a lot going on. So, if we go to the call super quick, please.
Operator: Our next question comes from Dominic O'Mahony from BNP Paribas. Your line is now open. Please go ahead.
Dominic O'Mahony: Thanks. I'll keep it quick. Just one question then. You give the embedded value by geography, I wonder if you could give us the free surplus generation even a rough indication of how much is coming from your bigger markets?
Anil Wadhwani: James do you want to address that?
James Turner: So, we don't give a breakdown by margin -- by geography. But what you can see is you can see our NBP from the bigger segments that's in the disclosure. So, that will give you a flavor where we're adding the most value.
Dominic O'Mahony: Thank you.
Patrick Bowes: Okay. Next question please. 
Operator: Our next question comes from Rhea Shah of Deutsche Bank. Your line now open, please go ahead.
Rhea Shah: Yes. Thanks. Just one question. The cash remittance has looked a bit low in 2022 as a whole and a bit lower in the second half in particular, was there anything particular driving this?
Anil Wadhwani: James?
James Turner: So, a quick answer no. It's probably my quickest answer. So, we've got very robust levels of liquidity. We're at about $2.7 billion at the year-end. We've always had a policy of only bringing up to the center of what we need. Clearly, we don't need anymore.
Patrick Bowes: Okay. Thank you, James. Very concise. Next question please. 
Operator: Our next question is from [indiscernible] Ahmed from UBS. Your line is now open, please go ahead.
Unidentified Analyst: Thanks. Quick one on Jackson. When do you intend to sell it down? And just on inorganic opportunities, where do you see them if you can list them down quickly? Thanks.
Anil Wadhwani: James?
James Turner: Okay. So, Jackson we've already -- we made a commitment to reduce our exposure to below 10%, which you know we did. We're not going to give comments on the sale of the balance because that would impact its price.
Anil Wadhwani: And you want to address the inorganic as well?
James Turner: Inorganic we will always look at opportunities that match our IRRs, but we've been very focused that our capital allocation is primarily focused on organic growth and then filling in capabilities. 
Patrick Bowes: Thank you. Okay. It's a good regime this one, right. Next question please?
Operator: Our next question comes from Andrew Baker of Citi. Your line is now open, please go ahead.
Andrew Baker: Great. Thanks. Two quick. So, IFRS accounting change obviously coming through. Any thought on change in the EV reporting basis? And then just in China can you help me understand the margin? So, 70% is from banca 43% margin. The rest I assume some agency 65% margin. How do you get to the 44% blended? Thanks.
Anil Wadhwani: James IFRS 17 changes in EEV?
James Turner: So, I think the first question was the -- and I thought I'd escaped an EV/TV question, but EV/TV -- the headline is I hear you, our focus has been on IFRS 17 and making sure that we get IFRS 17 over the line. And clearly as interest rates increase, the differences between EV and TV actually reduce.
Anil Wadhwani: And Lilian do you want to answer the agency mix question. Would you have the data for that in terms of how the margin squares up to 48%?
Lilian Ng: In terms of--
Anil Wadhwani: If you don't have the data can we come back to that? So, that's a very specific question. We do not have the data for that.
Lilian Ng: It's in the appendix. 
Anil Wadhwani: Andy we will come back to you if you don't mind.
Patrick Bowes: Okay. Next question please.
Andrew Baker: Okay. Thank you guys.
Operator: Thank you. Our final question is from Abid Hussain from Panmure Gordon. Abid, your line is now open, please go ahead.
Abid Hussain: Hi thanks. I'll try to be quick. I have three questions. One on bancassurance. Is there any high-level color that you can give us on why the margins improved there? Is there anything structural there happening on the banca side or is it a one-off? Second two, -- the next two on capital. First on capital sensitivity, the GWS capital is negatively geared to rising rates as well as spreads on rates? Is it just simply the discounting effect, or is there something else going on? Can you just touch upon that very quickly? And then just finally on capital, your capital ratio is in the 300% on the GWS basis. I know the floor is 150%. But what is the operational target range that you're hoping to run within? Thanks.
Anil Wadhwani: James, why don't you answer the capital question and then we can go to the bancassurance question to Lilian.
James Turner: Okay. So the two capital questions. The first one I think was GWS capital sensitivities. And you asked about the discounting, sorry, you asked about interest rates. So look, however, you -- wherever you start, we've got a really strong balance sheet that 302. You take off any of the single impacts and it's a very high number. And what I would draw your attention to is what's happened this year. So we started this year at 320%. We've had significant increases in interest rate, huge reductions in equity, volatility, credit spreads increasing. A real combination of stresses and yet we ended the year equally strong at 302%. So that gives you a sense of how actively we manage this. The second question you asked me was about the capital range at 302 versus the 150 that is our floor in essence. We don't set an internal target ratio of the type that you just described.
Anil Wadhwani: On bancassurance?
Lilian Ng: On the value that bancassurance bring, I think obviously bancassurance was actually -- given the COVID restriction was our bigger channel in 2022. But having said that, we also bring in a 15% growth in NBP in terms of value. What's good to know is our two large regional bank partnership bringing for -- SCB bringing about 30% of our bancassurance value and UOB actually bringing 15%, 16% of our value into bancassurance. 
Anil Wadhwani: And just to add to Lilian's point, if I look at the penetration rates of insurance into the customer base of our bank partners there is still a lot of runway. Most of the bank partners -- our exclusive bank partners have single-digit penetration into the customer base. So there is a fair amount of runway for us to drive greater customer penetration as far as insurance products are concerned.
Patrick Bowes: We have one final question. Someone had difficulty getting in. We have indulged that person. So last question please.
Operator: Our last question is from Andrew Crean of Autonomous. Andrew, your line is open. Please go ahead.
Andrew Crean: Great. Thanks. A couple of questions. Firstly, you talked about changing product mix in Hong Kong being having a disruptive effect in 2023. Could you expand on that? And secondly, could you talk about any early thoughts on your CITIC joint venture? The past management team were keen to increase the share. Is that is likely to continue as a desire is it sort of middle distance issue or not?
Anil Wadhwani: Thanks for those questions, Andrew. So, let me get to the CITIC JV. As I mentioned, China Mainland is obviously a big focus area for us. And we are very committed to investing capital in China Mainland to ensure that we grow the business further. We have an excellent partner. We have 50% of what is a growing business as was demonstrated in 2022. And we look forward to working with our partner to see opportunities as to how we can grow our business even further on the Mainland. On the change in product mix, as I said, the initial flow that we are getting from the MCV customers coming into Hong Kong is in the savings category. However, Lilian did emphasize the fact that 50% of the policies are savings and 50% of the policies are H&P and typically the H&P sales cycle is much longer than the savings product. It's also the kind of profile of customers Andrew that, we are getting across the border initially. And as I said, it's still early days, and some of this is likely to evolve as we move forward. But our emphasis is to provide diversified product suite, to address the diversified nature, or the diversified needs I should say of our customer base in Hong Kong and elsewhere. Thank you.
Andrew Crean: Thank you.
Patrick Bowes: Thank you everyone. Obviously, there's a scope for follow-up questions on Monday face-to-face with Andrew, if we've rushed and misheard anything.
Andrew Crean: For sure.
Patrick Bowes: I'll pass back to you Anil to close the call off.
Anil Wadhwani: Thank you, Patrick, and thank you everyone. It's really an exciting time to be part of Prudential. And as I said hopefully, I've been able to convey that excitement. In terms of both the growth opportunity, but how Prudential is positioned to be able to address these opportunities across the Asian and the African markets. My focus right of the back would be people and culture, our customers and are operating with them. I'm sure, we've been able to kind of answer most of your questions, but if you would like more texture and more color, we would love to engage with you further after this call. Thank you very much for being here. This is great, because this is the first time in the last three years that we've done a face-to-face meeting. So I look forward to many of these and have a good evening. Thank you.